Operator: Distinguished investors, dear friends from the media, good afternoon. Today is the beginning of the spring and so we could see that the warm market of the -- in Hong Kong. So thank you very much for attending the Geely Automobile Holdings Limited 2024 Annual Results Conference. So we wish you a complete success. And my name is [Zhao Yang]. I would like to introduce you the management team of Geely Automobile. They are the Geely Automobile Holdings Limited CEO and Executive Director, Mr. Gui Sheng Yue; President, Geely Holdings Group and CEO of ZEEKR Technology Group. Mr. An Cong Hui; CEO of Geely Automobile Group and Executive Director of Geely Automobile Holdings, Mr. Gan Jia Yue; CFO of Geely Automobile Group, Mr. Daniel. At the very same time, we also have our independent directors, [Indiscernible] attending our conference. They are Mr. Steve Davis; and Mr. Miguel Lopez; and Mr. Michael Ricks. Thank you for attending. Thank you. There would be 3 sessions. First of all, the CFO, Mr. Daniel, will share with us our annual results and future expectations, and then Mr. Gui will give a speech. And finally, we will have a Q&A section in the investors and also analysts, who joined us online could also send your questions to us. So now I give the floor to Mr. Daniel.
Dong Hui Li: Dear investors and friends from media, good afternoon, my name is Daniel. Now I will introduce you the annual results of Geely Automobile in 2024. Last year was an important year for Geely Automobile to consolidate its leading position and make breakthroughs, and we have entered into a new stage because we have the growth both in sales volume and profit. So last year then the sales volume actually reached up to 2.177 million units with a growth of 32% and the total revenue exceeded RMB 200 million up to RMB 240.2 billion, and so RMB 240.2 billion with 34% growth. And in terms of profit, we could see here the profit attributable to equity holders was RMB 16.6 billion, and that excluding extraordinary items was RMB 8.5 billion. So in terms of sales volume, we also made breakthroughs, especially in terms of the total sales volume and the new energy vehicles and auto exports, all setting a record high. And for the NEV was 888,000 vehicles sold, grew by 92%, nearly double growth. And so here we can see, we have 3 brands: Geely, ZEEKR and Lynk & Co, all reached new heights. And in last December that they have -- our market penetration has reached 58.6%. And in terms of the new vehicles, we sold 1.289 million, which as you can see, we have made growth against the headwind so we really consolidate our position. In terms of exports, here, we can see the export was 415,000 vehicles with a growth by 57%. And in terms of the export sales accounting 90%. And in terms of finance performance, we could see it's being driven by the scale effect and high-value products. So we have sales growth and also product structure optimization. And therefore the sales revenue actually set a record high, up to RMB 240.2 million. And so here, we can see that the average unit price rose steadily up to the RMB 107,000 in a fierce market. So along with our increasing competitiveness of our products and prominent economy of scale. So here we could see the gross profit that increased up to RMB 38.2 billion. So here, we can see in the profit margin -- gross profit margin also grew by 0.6%, already up to 15.9%. And in terms of operation and management, the sales and also administrative expense ratio has been reduced to 5.5% and 2%, respectively. In terms of R&D, we fully focus on the intelligent strategy of the new energy vehicle and continuously increase intensity of the R&D investment. So last year, the total R&D investment, up to RMB 15.9 billion. And however, we've optimized the R&D through strict cost control. And therefore, the R&D investment only accounted 60.6% [ph] of our sales revenue. And so here you can see our company technology accumulation and systemization ability in the new energy vehicles gradually reflected in our financial results. So here, we could see that the net profit attributable excluding extraordinary items reached RMB 8.52 billion. So that's up to 52% year-on-year. And the new energy vehicles began to make profit in the fourth quarter and the company's strategic transformation reached a harvest period. So in terms of cash flow, so here, we could see that operating cash flow up to RMB 26.5 billion and the total cash level, that's RMB 40.9 billion at the end of 2024 and net cash flow, RMB 39.8 billion. On top of that, Geely Automobile rewards our shareholders year-on-year. And so here, we can see that the dividend per share increased year by year. Last year, the proposed dividend per share is HKD 0.33 that up to 50% year-on-year. So in terms of our brand product interest, Geely Automobile achieved all round and balanced development. So Geely brand with annual sales of 1.67 million vehicles increased by 27%. And Geely Galaxy has become the mainstream EV brand with annual sales up to 494,000 units and that's the 80% of year-on-year growth. And therefore, the Galaxy products are selling very well and they ranked quite top among the different segments. So Galaxy E5 ranked top 1 in the electric compact SUV in January 2025 and Geely Xingyuan ranked top 1 among all categories of EV in January 2025. And Galaxy Starship 7 EM-i ranked top 1 among all brand plugging hybrid cars. And China Star ranked first as the Chinese independent branded fuel vehicles in China for 8 years consecutively. And so we've sold 1.17 million vehicles and up to 14% of growth. And we have other brands just like Xingyue L, Xingrui, Bin Yue, all actually won annual sales champion in different subcategories. So Geely brand has already covered more than 80 countries and nearly 9,000 overseas and sales service outlets. And in 2024, that our localized factory has been built in the Geely EX5 launched in overseas market and the ZEEKR brand also sold 222 million in 2024, an increase of 83%, double the growth. And since Q3, it also achieved the profit and ZEEKR 001, 009 and 7X has also topped the segmented market. And it has also driven the total sale. 2024, ZEEKR has also pushed map-free city NZP through OTA, which has also driven the smart driving function. And moreover, it has also continued to speed up the expansion in the overseas market, covering this continent and over 40 overseas market. 2024, we can see the sales volume, 285,000 units, an increase of 30% and the NEV penetration rates elevate to 59%. And Lynk & Co 07 EM-P, 08 EM-P continue to sell well, and Z10 and Z20 have been launched within the year and the 10 days after the launch of Z20, we can see that over 10,000 units have been produced. In 2024, the Lynk & Co EU has also transformed the business. Now the outlet in Europe reached to 21. So under the strategic guidance of title declaration, the group has also made the integrated transformation of the strategy of ZEEKR and Lynk & Co in 2024 with the completion of the equity deal in February 2025. We have opened a new chapter. So after the integration, ZEEKR Tech Group will just improve the efficiency ranging from R&D, production, sales and management. It is expected that by 2026, the sales volume will hit the million target and over 3% of BOM cost cut savings will be ensured and production as well as manufacturing will also improve efficiency. The R&D spend, sales and administrative expense will also have the scale of 10% to 20%, among which the R&D expense ratio will be reduced to 6%. In sales and administrative fees, ratio will also be lowered to 8%. And moreover, we will also have the diversified profit. In 2024, Renault Korea as well as Proton contribute to the steady profit. And Proton sold 153,000 units in 2024, contributing RMB 95 million. And in 2024, Proton in Malaysia also launched the first model of the Pure EV e.MAS 7, and 2 weeks after the launch, the orders surpassed 2,500 units and [Indiscernible] in the 2 months of this year. This product continue to top the rank in the Malaysian EV market. And Renault Korea in 2024 sold 110,000 units, contributing RMB 121 million. And then moreover, we can see that the Grand Koleos, after its launch, it's been a hit in September. And so far, the terminal sales recorded 22,000 units by the end of 2024, and it continue to top the list in November as well as December in the mid class SUV South Korean market. And in 2024, the joint venture, Horse Powertrain has been established, introducing the strategic investors and they also contribute RMB 9.1 billion to the group and also RMB 1.63 billion cash flow. 2024, Horse Powertrain has sold 8 million units. And by the end of last year, we can see that the net profit amounted to RMB 1.15 billion. And as for the Genius AFC, its profit is very stable. The overall net profit, RMB 1.07 billion and the loans scale, RMB 54.8 billion. And moreover, the newly added contract volumes surpassed 600,000 units. And we can also see the booming development of the business within new order of 92,000 units. Despite the intense competition, Genius AFC continue to lead the sector. In terms of ESG, our company continued to focus on the long-term sustainability and ESG has been integrated into the corporate strategy. By the end of last year, the emission of the life cycle of per vehicle decreased to 18% -- decreased by 18% from 2020 level, and we continue to build the global sustainable supply chain. And our performance in the ESG continues to top the list of the mainstream ESG rating. So in CCTV as well as in S&P rating, we continue to be the number 1. Moreover, we also continue to top the list of the Hang Seng Composite Index in terms of sustainability index. So we'll continue to focus on the overseas expansion as well as sci-tech so that we can reach a new high. In 2025, our group sales target is 2.71 million units, among which, NEV sales target 1.5 million. 2025 will also be a hit year for Geely because we are going to launch 10 new NEV products and also have a diversified metrics for the products. To be specific, our sales target for Geely brand, 2 million units, and we are also going to launch 5 new NEV models and also multiple modified models, among which Geely Galaxy will also be the head of like the Geely Galaxy Xingyao 8. And we are also going to launch another 2 new SUVs and 2 new sedans so that we will also have the diversified NEV metrics. And in the second half of 2022, we will also update our products like the ICEs, which will also be equipped with the Flyme Auto as well as G-Pilot intelligent driving. And as for the ZEEKR, the total sales target for the year is 710,000 units including the ZEEKR brand, 320,000 units and Lynk & Co, 390,000 units. And we're also going to launch 5 new NEV models and multiple modified models. And in April this year, we are also going to launch 007 GT and also SUV, ZEEKR 9X as well as the luxury EV SUV, which will be launched in Q3 and Q4. And for Lynk & Co, in the second quarter as well as in second half of this year, we are also going to launch the Lynk & Co 900 EM-P, the first SPA flagship. And moreover, in April, ZEEKR Tech Group will also launch the D2D function. In 2025, we continue to speed up the global expansion and also diversified exports of ICE as well as NEV models. And in terms of the models for exports. In terms of ICE, we are also going to launch the new and modified product. And in terms of NEV, we will continue to launch Geely Galaxy, ZEEKR 7 and also Lynk & Co 08 EM-P, et cetera. And globally, we'll also make breakthroughs. In terms of the Middle East market, we would like to focus on the number 1. And as for the Pan-Europe and East Europe and African market, we try to be the top 3. And as for Asia Pacific market, our export target is over 100,000 units with an increase of 100%. And as for our Latin American market, we hope that the export sales volume will increase by 100%. And we will also continue to have the localization in Egypt, Ghana and Nigeria, et cetera. And so far, Geely Automobile has already completed the strategy for the 2025, and we also target AI application because we are committed to be the sci-tech company with strong capabilities and strength in smart manufacturing. In terms of AI, we just try to be the leading operator in terms of the computing power, the model as well as the big data. For example, in terms of computing power, we would like to establish the Xingrui Computing Center. And in terms of model, we also have the self-developed Xingrui model as well as the self-developed all drive model. So you can see, we have been the first automobile company that has the holistic and improved AI ecosystem. In terms of data, so far, 7.5 million L2 intelligent vehicles, and we have also got the real driving data of over 10 billion square kilometers. So we have accumulated the data of the accident in the past 3 decades. So we have the old domain scenario database. In terms of AI, we can also see Flyme Auto as well as ZEEKR AIOS have also topped the chart. And moreover, the satellite navigation, the self-developed ships and low altitude mobility and human machine interaction and intelligence, we have also topped the sector. In terms of AI, we also work together with Qianli Technology, StepFun, DreamSmart as well as low-orbit satellite for the ecosystem of AI in all domains. So through the all domain AI technology deployment, we believe that we can have the application in all scenarios, in all domains. Despite the intense competition in 2025, our management still have full confidence, and we will continue to commit to the Taizhou declaration and also stay committed to our core values and provide high-quality smart automobiles to our customers, and we will also have the integration of AI technology and advanced manufacturing. So this is my introduction. Thank you.
Operator: Thank you very much for Mr. Daniel's introduction of our annual results. And now I will give the floor to Mr. Gui.
Sheng Yue Gui: Thank you very much for joining our annual results conference, joining us online and on site. Thank you very much for your attention and your support to Geely Automobile. So we've already reviewed the 2024 annual results conference. And so the sales volume, that's up to 2.177 million units was a record high. And so here, we could see that the vehicle average price and also increasing nearly by 10%. So these are the numbers. And if we look at these numbers in the domestic Chinese vehicles market, we would not say this is a very outstanding figures. But we would say, it's a good figures. So we really need to look into the essence of the final results. So I would like to make 3 observations. So the first one, that is the new energy vehicles has already accounted 50% of the market share. And by the last quarter of 2024, actually the new energy vehicles of the Geely Automobile has already penetrated 60% of the market. So that means the total sales of volume of Geely Automobile already reached to the second place in Chinese market. Of course, there is still a gap between us and the top 1 energy vehicle brand in China. But worth mentioning that as we already outperformed other new energy vehicle brands and also outperformed some of the vehicle brands in overseas brands. So such an achievement has already reflected that the Geely Automobile's strategic transformation has already achieved an initial success. This is important, I think. And then the second observation, that is the profit. Since the second half of 2024, Geely's new energy vehicle segment has already made profit. We've already turn it around. So I think that's really important. And therefore, we do not need to burn money in terms of the new energy vehicle investment because the new energy vehicles in Geely will continue to contribute a lot of profits to our company. So this is the second important observation. The third observation that is you could see our product matrix through our annual reports. So we have the high-end luxury, ZEEKR. And we also have the Lynk & Co, which is a young consumer oriented. And we also have the Galaxy that to cover the mass consumers. So that means our product matrix are competitive. As we all know that in Chinese Mainland market, we know the automobile market is -- have a most fierce competition. So even under such harsh environment, our product metrics could enable us not only have the competitiveness, but also have the profitability. So I think this has been fully reflected by our financial results as well. And Geely Automobile also have accumulated a lot of capability in terms of technology, innovation and management. And so what I mentioned, the 2 figures in the financial reports. Figures are figures. But what I've shared with you, the 3 key points of observation, that's the essence of our progress. So what does it mean? It means that Geely Automobile has already kept up with the pace of Chinese automotive industry. So we have found our position in the -- amount all of those to Chinese automobiles. And so from this perspective, 2024 is of great significance to Geely Automobile because I just shared with you the -- my observations from 3 perspectives. And the market has proven that we are -- we have been on the right track over the past few years and will be in the future. And the results in 2024 also strengthened our confidence. So we believe in ourselves, we are able to catch up and also to surpass and also to create a bigger achievement. So I think that's what I would like to say and that's my interpretation of our financial reports in 2024. But of course, Geely is still at the starting point of our new era. And so I think the product metrics in new energy vehicles, that still need to be optimized. And just like my colleagues mentioned, we are going to launch 10 new energy models in 2025. And I believe with the launch of those new products, we are able to shorten the gap in sales volume between Geely and the top 1 brand in China in terms of new energy vehicle. And we are going to continue to strengthen our capabilities and competitiveness. In 2024, it is important because we gain confidence from the market. And 2025 will be the year for Geely Automobile to turn around our situation. And Geely will be back on the faster race track. And we believe that in 2025, that will be a very important role in the history of Geely. So that's what I'd like to share with you, my interpretation of the financial reports last year. And I also would like to touch on about the strategy of our intelligence, especially the autonomous driving or the smart driving. I also would like to report to you in this regard. And in the past few years, that autonomous driving, that actually has embraced by many vehicle brands and therefore, different vehicle companies actually took different directions. Some focus on their self-development, some focus on the cooperation with other parties. And some companies promote their own autonomous driving system and to make their own cars. So that's a different scenarios and different directions that made by different vehicle brands. And in terms of the attitude towards the autonomous driving, I think, in China, it is full of diversity as well because for some vehicle companies, they truly respect the science, they work on the autonomous driving in the scientific and cautious way. However, there are still some car companies just would like to make themselves to be the number 1, and they just launched their brand, but they claimed themselves as the number 1. And so there are many voices in the market. And so we could see, even some brand actually criticized the self-driving or the autonomous driving was a scam. However, a year later, by cooking different recipe from the different brands, they've claimed themselves actually like the Chinese autonomous driving. And therefore, what I would like to say that actually there are different types of the situations in different vehicle companies. And just what I said, they are sound vehicle brands actually claim themselves to be the number 1 in terms of autonomous driving and claim themselves actually have mature technologies. I think this kind of -- this kind of voice is actually sometimes view -- give some misinformation to consumers. Some consumers may be felt excited, but some confused. And I think this kind of the message or information actually already passed on to the investors. And so many investors actually came to me to ask. So how about your autonomous driving? Why do you -- your cars still need to be driven by the human hands and human feet? And sometimes I felt I need to respond in this topic. And therefore, I would like to give you some updates in terms of the Geely Automobile strategy in terms of the smart vehicle, especially the concept of autonomous driving. Actually, when we record previous years, that a few years ago, we made a determination that to make our transformation intense in new energy vehicle. We're already fully aware that, that would be the reform of the new energy vehicle. So the first half work could be the new energy and the next half work would be the smart driving. And so we've left behind a little bit in the past few years, but we've reflected and we've reflected ourselves, and we've made in that research and we are going to develop that. And we could see that the market is fierce as we predicted. Actually, a few years ago, due to our sales number were not very good, and therefore, our efforts in terms of the autonomous driving has not been attracted by many people. Actually, in 2021, we've already established one of our computing center. I still remember, back in October 2021, it is announced that the 2025 Geely intelligence strategy or the declaration has been launched. So you can see years ago, back in 2021, we've already oriented towards intelligence. We have also made a deployment about this ecosystem, covering the chip to satellite to our cell phones, et cetera. So you can see, we have made a wide range of deployment focusing on intelligence. And of course, autonomous driving has been part of intelligence. So years ago, we've already started the journey towards intelligence. And just now, we have already elaborated the efforts that we have made for the intelligent ecosystem. As a matter of fact, last year, we have already successfully established the old domain AI intelligent model. And I believe that this model is unique in China, and it's the only one in China with its own characteristics. And also last year, we also had the integration of DPC so you can see we also collaborated with Qianli Technology as well as a StepFun for cooperation. Hereby, I would also like to point out that, if you look at it carefully, you can see either Xingrui, Xingchen or Qianli Technology, they've been part of the Geely ecosystem. And also like Meitu cellphone, it also provided the smart cabin with the Flyme Auto system. So you can see in some sense, they've been part of our sci-tech ecosystem. It is not separated. And you can also study carefully, like Qianli Technology as well Xingrui and Xingchen, and after their careful study, I believe you will agree with me for the conclusion that I have drawn just now. Simply put, we have been equipped with the strength in the AI area because we have established the old domain AI model for different scenarios of automobile and our model or system has been equipped with the massive computing power. Just now, my colleague has already mentioned that. So what I want to highlight is that Geely has also developed the philosophy to develop intelligence, in particular autonomous driving because we believe that without the big data or computing power or models, the intelligence of vehicles, in particular, the autonomous driving will never be achieved. And the rapid development of sci-tech has provided the automobile consumers diversified experiences. You can find a lot of conveniences. However, along with the developments, we should never forget and rather, we should remind ourselves that we should prioritize our safety. Safety should be the center of autonomous driving. And as for the autonomous driving, how can we ensure the safety of it? Simply put, big model can play a part so is the big data as well as computing power so that the safety can be achieved. In this way with the incorporation of big data, computing power as well as the model. So this triangle is very important to ensure the safety of our autonomous driving. So autonomous driving should never be a concept that can never be achieved without the support of the triangle that I have mentioned. So this is the philosophy of Geely Group. We need to stay committed to the science and also use the 3 elements that I have mentioned to achieve the safety of autonomous driving. So this is the philosophy developed by Geely. You may also ask, so at which stage of your intelligent driving. So just now, I've also asked the question or raised the question mentioned by other investors like why don't you just follow the journey towards autonomous driving? I have to say that this is a natural step. First, we need to build a solid foundation for the autonomous driving. And I also say that, as we just mentioned, the foundation for the autonomous driving, we have the most solid foundation. In that sense, we can also have already been the leader in that field. And so far, we have entered the application stage. And on March 3, an event has been hosted. And also ZEEKR executives for the autonomous driving, [Indiscernible] as well as other executives have already elaborated the underlying logic as well as the plan in that field. And in March 18, ZEEKR also organized an event. Mr. An chaired the event. And he also worked together with a user to experience the end-to-end autonomous driving solution, which will also be launched in April in the new products of ZEEKR. So I'm responsible to tell you on March 18, Mr. An demoed the autonomous driving. And I should say that the experience is the best. And all simply put, it would be included in the Tier 1. However, I also say that as for the autonomous driving solution demoed by Mr. An, as I say, the experience is the best so far and also the safest so far. So as for safest, for the conclusion, I have been cautious to say that because we should never be -- we should never be too exaggerated, rather we should be humble. We should always keep our pursuit of improving safety. So far it's the best, however, we still to do better in the future. So this is my elaboration of Geely Automobile company in terms of the efforts that we have made towards autonomous driving as well as the prospect for the future in this field. And now I would also like to summarize our philosophy towards autonomous driving. That is for the autonomous driving, we can say that we may have different experiences. However, safety should always be the center. So this is our slogan as well as our philosophy or idea towards autonomous driving. So today, with these trends, now we have shared our ideas with you because autonomous driving has been the best word for the focus of a lot of people. And now I'd like to shift the gear to another area, which has also been covered by our presentation. And in the past 2 years, in terms of the energy transition, we try to keep in pace with the current market. Despite some challenges, we made steady progress, and we have seen the light at the end of the tunnel no matter how the situation evolves. We still want to focus on ESG because we believe that if the company would like to sustain, ESG should be one of the important areas that we cast attention to. And hereby, I would also like to lead to another topic that is how we can ensure the steady development of an automobile company. We often have the reflection upon that question. As for Geely Automobile, when it is developing NEV, as I say, the company is steadfast towards that field. However, we will not give up ICE, internal combustion engines, and rather, we'd also like to shift the gear to reduce the emission and also improve the efficiency of ICE. So we will also ramp up investment and input in that way so that we will also have a leading position in terms of ICE. So we can see that we have maintained a solid or the leading position in this field. However, it's far from enough. We still need to ramp up efforts in that field. We believe that in the long term or at least in the midterm, the ICE will continue to exist. But maybe in the future, the fuel will be shifted to biomass or the fuel cells, et cetera. And in this few years, Geely continue to develop other fuels like the green methanol. So ICE may continue to exist, and this is one of the strategy for Geely's steady development. ICE will continue to be a pivotal part of our business. And years ago, the prospect for NEV is quite deemed. It was deemed years ago. However, the situation has been totally different. And as for the share of NEV, it has contributed 50% to our total volume. And you can see that we does keep pace with the current market in China. And this is also the solid foundation for us to forge ahead. And maybe in the coming 3 years, China's vehicle market will continue to evolve and also the competition may also shift. For example, for the investors, they would never just give you the money just based on the presentation you have just made, all the figures you have just showed. I believe that in the coming few years, all the companies which will not make any money, they will be phased out by the market. And in the coming 2 to 3 years, and we believe that, that will be the trend where the Chinese market will have the equal distribution of the share of both ICE as well as NEV. So in the coming 2 to 3 years and maybe the valuation method from the capital markets will also be changed. I guess, ICE, do see the demand either in China or in overseas market. So at that time, if the company just have the NEV products instead of the combination of NEV products as well as ICEs, then the company will have some deficiency or have some disadvantages. Therefore, I believe that a company with the portfolio of ICEs as well as NEVs, they will have an upper hand. So just now, I have shared with you our long-term development strategy as well as our philosophy. So going forward, we are sure that we will stay committed to our company's philosophy as well as a strategy. We will not just follow suite blindly rather, we will just keep pace with the trend and also be responsible to our consumers hereby with these trends. I would also like to make some explanations towards the following topic. So for some emerging companies, they may not cover this topic, but I would like to cover it like what I have shared. And also in 2024, you may have noticed that the Taizhou Declaration has been released, whose goal is to focus on the 175 and with that declaration, we have launched or rolled out the specific measures. And we believe that those measures will be seen and will be reflected. And we could see the benefits of those measures to emphasize 175. Last but not least, I also would like to talk about the issues that concern about our investors the most. As I remember last year, at these annual results conference for 2023 as once set forth in the near future, our sales volume will make record high year-on-year. That's what I said last year. And today, what I would like to tell you that is in the near future or the long-run future, our sales volume will continue to make record highs and our profits will rise and also making record highs as well. So that's all for I would like to say. Thank you.
Operator: Thank you very much for Mr. Gui's insight. And so now let's begin the Q&A section. [Operator Instructions]
Unidentified Analyst: I'm from Guangfa Securities. I'm a researcher. I have two questions. First one is the gross profit margin that actually, the fourth quarter, that one was increased by 1.7%. So could you explain why we are able to increase the gross profit margin? And second, the fourth quarter, the Galaxy brand actually contributed a lot in terms of the gross profit margin. And how do you see the gross profit margin in 2025? And the second question is about the export because we could see that Geely has some cooperation in terms of [Indiscernible] and also work with Renault. And so would you let us know? Do you have any structure exchange or structural change in terms of export to other regions in the world? And is there any low-risk practice to collaborate with the other partners?
Unidentified Company Representative: Okay. I would like to take the first question, and thank you very much for your question. And actually, we could see that in 2024, that the fourth quarter that we are able to make RMB 2.7 billion of the profit attributable to the equity holders. And so we can see that the gross profit margin actually reached 17.3%. And why was that? Because in the fourth quarter, we could see the sales risen was very good. And so here, we could see that the combustion vehicles, the Xingyue L in the first quarter -- in the fourth quarter already sold out to 30,000 units. And so -- and the profitability of the Xingyue vehicles was very good. So that's the change of the distribution and also sales structure that help us to improve the gross profit margin. And in terms of the second reason, that is actually when it comes to the end of the third quarter and the fourth quarter in 2024, because in last September, that we've launched the new energy vehicle, Xingyuan and also have other 2 new vehicle brands. And they have all of these new energy vehicles models made profit. And so here, we could see that when the first 3 quarters, the gross profit margin was less than 10%. However, when it comes to the fourth quarter, because of the sales volume driven by those new models such as Xingyuan, that helped us to boost the gross profit margin at the end. And thirdly, that is the export. As we could see the fourth quarter's export was quite strong. So based on these 3 reasons, we are able to improve the gross profit margin in the fourth quarter, increased by 1.7% compared to that of the third quarter. And in terms of the outlook for the gross profit margin in this year, and so I think we can see our competitors, they are actually starting to acclaim themselves that to develop very high quality of the intelligence driving capabilities. And they have also made some pricing adjustments as well. So we believe that in 2025, the over road market competition is fierce. And so in the first and second and the third month, we could see in recent 2 weeks, actually, our vehicles, be it the combustion or the new energy vehicles actually has been selling very good. So we still maintained our advantage in terms of the product metrics. And we also have the very strong cost control. And so here, we could see for 2024 that the -- our gross profit margin made 15.9%. And on top of that, in 2025, we would like to made it to 16.5%.
Unidentified Company Representative: To take your questions in terms of the internationalization. And I -- by answering the question, I also would like to share with you our overall planning of our international business. Actually, in 2024, that the overseas sales volume of Geely has already made it to 415,000 vehicles, with a growth point up to 57.4%, and that number has already outperformed our competitors because average rate in this industry, the growth point was only 19.7%. And so here we could see in 2024 that the total overseas sales has already accounted nearly 90% of our business, basically 20%. And in this year, we believe that the global market will be affected by the macro environment in the globe and the overseas competition will be fierce as well. So at the same time, we believe that the sales volume in overseas market probably will be narrowed or dropped. However, there was another positive sign that is along with the rapid development of the new energy vehicles in China. We believe that the global market will give more opportunities for Chinese brands as well. So this year, Geely, our export target has been set up to 467,000 units with a year-on-year growth of 12.5%. And so we have the Geely brand that we accounted 400,000 units, and then Lynk & Co and ZEEKR will be sold to 67,000 units. So how about our strategy? We have our market layout, and we will focus on some key markets. As for example, Mr. Daniel mentioned the Middle East market. And Geely will make the number 1 Chinese brand in Middle East. And so we will ensure, there are at least 50,000 vehicles being sold in Middle East. And then the Eastern Europe, we would like to ensure we are able to maintain the rank number 3 or to fight for rank number 2 in Eastern Europe, and the sales volume need to be around 100,000 to 150,000 units. And in terms of the Asia Pacific, we are going to make it into about a market of 100,000 vehicles. And then also in Latin America and Africa, these are also the markets we've already paid attention to, and we are going to sell our combustion vehicles and new energy vehicles over the year. So that's our overall global market plan. And so here we can see for the Galaxy products and that has been regarded as a global brand. So all of those standards for the Galaxy series, all are following that the global and international standardized. So that basically means that -- and we have covered all 80 countries, and so our product actually developed based on the standards in more than 100 countries. So that means we are able to launch our Geely products in different countries one after another. And in terms of the European market, we will accelerate our business of Lynk & Co and Zeekr. And because in Europe, we also will fully optimize the resources of Volvo and to expand our European market at a very fast speed. Actually, as of now, the Lynk & Co and Volvo have been work together. And so in Europe, we've already had 46 4S stores. And by the end of this year, we are going to increase that number up to 150 4S stores. So that's a very good channel in plan. And we also -- so this is our overall planning. And we also make sound very good deployment of the different segments. Because Geely Motor has been focused on internationalization and globalization for years. And we have already localized our supply chain. We need to ensure our brands that could be go global. And we need to also ensure our technologies and also our branding could go global. At the very same time, we provide a very good success to ensure our markets. And we also launched a differentiated polices in different countries and markets. And at the same time, we also will focus on the intelligence driving for the international market. And we will continue to focus on the localization. So we will enlarge our KT factory and so many investors concerned about [Indiscernible] more. And you wonder where we have sound corporations? And actually, yes, because this is the advantage of Geely. Geely is a globalized company. So we have resources all over the place. So we will work with the Korean's Renault's company. And so here, we could see. And our corporation has net debt brand that increased from the number 8 to number 3 in the South Korean market. So for the single vehicles, we really need to set a benchmark in products in different segments. And so we believe that our products and technologies actually are quite competitive. In Latin America and South America, Geely will also work with Renault as well. And those cooperation details will be announced later on the official website. And so the major direction that is the localized development and also consolidate our distribution channels and resources. So that's the general information about to globalization. Thank you very much. And second question? The lady is over there, please.
Unidentified Analyst : I'm from the BOCI. I have 2 questions. The first one is intelligence strategy because last year, I think the market was skeptical about Geely's transformation to be intelligent and to be the new energy vehicles. And now we could see -- and last year, Geely has already made announcement that Geely has already established a joint venture. And so why do you name this joint venture as [Indiscernible] joint venture? Why is that? So will it be there [Indiscernible] number 2 joint venture since you have [Indiscernible] number 1 joint venture? And the second question is about the Qianli technology. And so as mentioned, Qianli is capable to providing the algorithm to Geely. And Geely also made some investment in institute up to CNY 1 billion. So could you let us know more about that so that we have more confidence in terms of Geely in terms of intelligence driving? And another question, in some of your competitors, just like BYD. And BYD also have financing a large amount of money, up to RMB 40 billion. And actually, over the past years, apart from the IPO, that Geely clearly has not raising money for a long time. Why is that?
Unidentified Company Representative: I would like to respond to the first question. And just now, Mr. Gui has already shared a lot of information with us and also shared the idea that was autonomous driving, which is very clear cut. And as a matter of fact, I have also been in charge of the that part. And as for autonomous driving, I should say, our journey should date back to 2020 because at that year, we just roll out 2 blue action plans, which is focusing on the high-end purely electric vehicles, and we just focus on energy saving. And we also say that intelligence has been part of our deployment or strategy for the vehicle's development. So intelligence is a highly important element of our products. So all our products, we just showcased the intelligence element. And then in 2021, Geely just rolled out the 2025 strategy for intelligence. So we have one [Indiscernible] plus three systems, which means that we just have the [Cytek] intelligent ecosystem. And we just centered on the chips, the big data and computing power to achieve that goal. So you can see we just focus on these triangle elements to improve or advance the ecosystem of Cytek and intelligence. And then moreover, in 2022, we also launched a new manufacturing center with a massive computing power. And we also topped the Chinese automobile companies in terms of the computing power. And since the second half of last year until this year, we also tried to improve the ecosystem. We also started a computing power alliance, including the Qianli technology, also StepFun and DreamSmart as well as low-orbit satellite to uplift -- elevate our computing power. And I should say that in terms of Chinese automobile sector, we can be number 1. And globally, we may just only be second to Tesla. So we have the guarantee and the notable strength in terms of computing power. And without the support of computing power, we can never achieve the autonomous driving in real sense. So safety focus are [Indiscernible] on the computing power. And secondly, big model has also been very important. We started the deployment of AI model back in 2021. And years ago, as I say, there was only a limited number of Chinese automobile companies focusing on the deployment of AI models that we started the journey years ago. So we focus on these areas. And then moreover, we also emphasize the importance of the efficiency as well as the improvement of customer experiences. That's why our whole team focused on the improvement of the efficiency. We ramp up efforts for the development and the management with the support of the AI models. Going forward, I should say that our model can be applied in multiple scenarios. And we have also made a lot of exploration in all the fields in different scenarios or automate. And earlier this year, some may also argue that why -- after the launch of DeepSeek, why Geely has been among the first to use DeepSeek or integrate DeepSeek because previously, years ago, we have already started the journey to focus on AI model development, so we can have the seamless connection with DeepSeek. And secondly, as a matter of fact, back in 2023, we just partnered with a StepFun. And as for Xingrui Computing Center, it is a vertical model. And the general model as well as the vertical model, they can be combined to be used in multiple scenarios. So that's why my team partnered with the team of StepFun to co-develop the big models. So as for DeepSeek, it is focused on the test. And for our model, we can also connect with the audio or video, et cetera. And all these models are multimodal. So therefore, with both the audio or the video, we can just use it to elevate our capabilities, and we can also empower our vehicles in multiple scenarios. And of course, AI can also be used in other scenarios. And why Geely is a hybrid vehicle or PHEV can lower the consumption of the oil. So why? Why we can become the benchmark of this sector and why we can also top all the sedans in terms of the oil consumption. It is because of the application of the big models or LLM. And previously, we understand that for the parameters, we just focus on the temperature, the -- all the relevant indicators shown on the vehicles. And so far, we have a fixed scenario. And we would also like to extend application of the model in different scenarios like we can understand the real-time temperature or other conditions. Then with information from the sensor, we can just make the informed decisions. So you can see, we can't just have the real-time data from the sensors. That's why we can also well control the oil consumption. And then moreover, we developed AI [ Plus 5 ] model. As for autonomous driving, we believe that data is the utmost important factor, and we continue to train the model. However, as for data from different scenarios, it is not easy for us to collect the data. However, with the AI Plus 5 model, we can also generate a lot of other derivatives or other relevant scenarios to collect the data. So the data from massive scenarios will also be connected with the real-time data. Then both the virtual data as well as the real-time data will also be combined to change the model. That's why we can have a higher efficiency. So we can improve the efficiency by fold. And also this type of data will also drive the intelligence development of Geely's products, Geely's vehicles in the future. So in a very short time, you can just observe how we can make progress in terms of the Geely pilot products. And the other question is why we established the joint venture with Qianli. Because it just represents AI plus computing power. And as for Geely, we'll also strive for the leading intelligent driving capabilities. Maybe 1 year ago, we have already made efforts to upgrade our hardware as well as software. So for our products, you can also see we had a unified design in terms of software. Now in the wave of AI, we would also like to have the integration of it to improve the efficiency greatly. And we can just elevate the efficiency notably. So you can see that's why we partner with the 2 companies to work together for the same goal. That is we just want to combine AI to improve our advantages with the combination of better or massive computing power so that we can just extend the value through the chain. Thank you. And just now, we've already mentioned that on March 18, Mr. An has already launched the end-to-end autonomous driving function so we can just have experience of that so that you can have a better understanding of it.
Unidentified Company Representative: So good afternoon, investors. Friends from the media, good afternoon. And as for the autonomous region or the intelligent driving, our leaders have shared a lot of information with us. We believe that the safety is the utmost important parameter. And as for Qianli Haohan company, I believe that the partnership with it is the very good decision by our company as known to all under our group. We have marketable solutions for intelligent driving, but now we have the integration of our plants or solutions. And as for Qianli Haohan company, it's a combination with Geely is a targeted strategy for us to live up to the goal that we have set for the whole group. And thirdly, I would like to mention that for the intelligence, for the safety of autonomous driving, we just want to have the partnership with other party in order to elevate our capabilities, and we believe that we need to have long-term input into intelligence. You must be aware of this point. We must sustain our efforts in this field like in computing power, algorithm, data. So the integration with Qianli Haohan, we believe that in terms of computing power, we can have more advantages. And in terms of data, the Geely company has also made a lot of efforts, like we can collect close to 7.2 million vehicles data. As for Geely Holding company, under our company, we have also got a subsidiary company, the platform, [Indiscernible]. So the data from mobility sector can also feed into our model to well train the model. In terms of algorithm or the computing power, Qianli Haohan has also contributed to that. They can also share their strength with us. And in terms of algorithm, we also continue the integration. And this is the second point. And thirdly, 2 days ago, on March 18, in Hangzhou, Zeekr launch conference has also rolled out Qianli Haohan H7 autonomous driving solution. The D2D solution has already unveiled its chapter, the public testing. And also in April, we will also push it. And as for D2D, I should say that we are among the Tier 1 list. With our comparison and also the test, we believe that Qianli Haohan H7 and D2D solutions have been merging into the Tier 1 chart. Even though we've spent some time on that, but now we have lived up to our goal and this is a starting point, a new starting point. In the future, we will continue to iterate our smart driving OTA to optimize our user experience. Fourthly, that is the very good synergy of the Geely group. We've combined Lynk & Co and [indiscernible], which is combined of Lynk & Co and Zeekr, that -- it will fully equipped with H7 and that would be the first small driving system using the store chip. Fifthly, on 18th of March, we also launched 9X Zeekr, which will be able put into the L3 mass production, and the 9X model will be displayed at the Shanghai Auto Show in April. So that's all I would like to add. Thank you.
Unidentified Company Representative: And I also would like to supplement a little bit. In terms of the smart driving. This is a very -- it's a very good question. It's interesting, and it's also the reality. And over the 2 years that people were concerned about the new energy vehicle transformation of Geely. And now, people begin to worry about our smart driving. But I would say, don't worry because some brands do a lot of marketing. They do a lot of talking. However, we did a lot of working. So just like Mr. Gan and Mr. An mentioned, we actually have our overall deploy of the smart driving. And we also mentioned that there was a joint venture set up with Qianli and Haohan. And so I think this is not a very important thing. Why is that? Because the predecessor of Qianli Technology, that is Lifan. And Lifan itself actually is one -- itself is actually one of the subsidiary of Geely. And so actually it's already part of our Geely Group system. And just like our smart pilot cabinet and people ask us, then why do we have the OT system? And yes, because we got the Flyme Auto system from the Meizu mobile phone. And so it's a part of our system already. So we just put those resources together. So be it Qianli or Haohan or be it a different type of the joint ventures we set up, it's just internal arrangement. I think the true function, that is to achieve the goal of smart driving capability, that would be the core. And we have to admit that Huawei is doing great in terms of the smart and intelligence. Although Huawei does not make cars by itself, however, you can see Huawei really promote its own smart driving system. And why it's small driving system is able to develop its vehicle brands? And why? Why Huawei's vehicle could make a very good hit in the market? Because Huawei has the advantage of the technology system. So you will know that in the future, that automobile sector is just moving or moveable smart or intelligent agents. And that would be our ultimate future. So now we are talking about the electric vehicles. We talk about hybrid or electrify. All of those will be part of the moveable intelligence agents. And so I think we really need to focus on our current target that is AI. And there are some companies really good in manufacturing and some companies really good at the building up the system. So the fairness we could see, there are some car companies already signed a cooperation contract with Huawei because they relied on Huawei to help them to solve about the smart driving system. And however, for Geely Group, we have already built our vertical system. And so you can see -- what's the point of cooperating with Huawei, that is they will have a bigger database and therefore, we will help them to optimize their system. So in terms of the smart driving, I would say, Huawei is the one we should really pay respect to. And Huawei is really the one that deserves the respect from the other competitors. But for some other vehicle companies, I would say, they may sell in very well. But the thing is, we really need to focus on the key technologies. So back to Geely, we have a combined Qianli Technology and the [Indiscernible] together. And it's part of our system. It has very strong computing power. We just hope that with the Qianli Technology together, we are able to build another Huawei, which is capable, have the strong power in terms of the smart driving. So we need to see our internal arrangement from this perspective. So this is full of strategy, meaning this is our long-term arrangement. Our ultimate goal that is to make vehicles in the future to be a moveable intelligence agent. So I think you will feel it and you will see it in the market. One year later, I think your doubts about Geely's smart intelligence driving system will be disappeared. So that's my answer. So don't pay much attention about the structural change of Qianli technology. That's not very important. It's just a part of our internal structure. And -- but we will focus on our ultimate goal, that is to make our contribution into the moveable intelligence agent. And the second question that is you're asking. Do we need financing? Well, if you would say, if you need financing, then we will not buy your shares, et cetera, or when you start financing, then probably you could just sell us a discount, right? So I think, well -- I just would like to answer your question actually from the Powerpoint we just shown to you. That in terms of the 1 7 5, we have abundant cash flow. And even in market, you probably haven't heard any bad news about the pressures of our suppliers or distributors. Well, it's not. Actually, the fact is, many distributors would love to sell Geely's cars because the Geely are selling very well in the market, are selling very quickly in the market. They don't have any inventory question currently. So I think if you really want to know the Chinese distribution market, you need to go to the 4S store. So currently, Geely has no financial pressure because we have CNY 40 billion cash in our pocket, that's fair enough. But, of course, I won't -- I would say, we -- if there is no special circumstances, we do not have financing plans. And probably, you've already forgot that. Actually, 7 years ago that I actually issued a stock option to my employees. At the time, that the price was CNY 32.7. And at the time, they were 500 million. And so that's actually a very positive attitude and because that would be a very good chance for our employees to buy the stock options from our company, and then we are able to bind our employees with Geely together. And so that's what we did years ago. And in the future, I'm very confident. And I believe that based on my experience in the capital markets, obviously, capital market is fair. And so at different type of the stages, the capital market will give us a corresponding valuation. But I believe that -- and first of all, we have sufficient cash flow. Second, we have confidence in the future. And therefore, I believe that our price per share will go up. And as long as we work harder and we will see our increased share price, it probably will exceed CNY 32.7 or to a higher level. I think let's wait and see. And I believe that our share price is actually underestimated by the capital market. But there was a reason for the capital market to underestimate our price. But I think this market evaluation or market valuation will be fixed. And after that, our stock price will go up. And so if -- I think if the price go up more than CNY 72.7, I believe that many of Geely's employees will exercise their stock options. And then at the time, the 500 million shares will be raised up to CNY 20 billion. So that's my question -- that's my answer. So next question.
Unidentified Analyst: I'm from Huatai Securities. I have 2 questions as well. The first question is about Zeekr and Lynk & Co because actually, this year, these 2 company or these 2 brands have been combined. And so could you share with us some updates? And second question, I believe that the combustion vehicles is an independent part of the vehicles. However, in Chinese market, that in 2025, that combustion vehicles will be dropped by 10%. And how about the export? How about the profitability of the export market in terms of combustion market?
Unidentified Company Representative: Well, I will have Mr. An to answer the question of the combination of these 2 brands.
An Cong Hui: Geely Holding group that actually announced the Taizhou Declaration and the merge of the Lynk & Co and Zeekr is part of it. The Taizhou Declaration is very important. Since last November, we've already decide the merge and combination. And by the February, that merge has been delivered. And these 2 companies actually involve several entities. And because Volvo is a listed company in Sweden, and Geely is a listed company in Hong Kong, and Zeekr is a listed company in the United States. That means there are 3 companies that being listed in Europe, U.S. and Hong Kong, totally different markets. So I think, first of all, I would say we have very good speed and efficiency of exercising and implementing Taizhou Declaration. In terms of this merge, we also set up some goals. I think just now, we have already shown you some of the important data, for example, R&D investment. And so we could see the R&D expense rate will be dropped from 11% to 6%. And in terms of the sales volume, after 2 years -- 2 years after the merge, we believe that we are able to make it 1 million level high-end luxury vehicle brand. That means in the next 2 years, the compound annual growth rate should reach 40%. And we believe that after the merge, we are able to control the cost, and the cost will be lower by 3% further. And so actually, we already see that the merge could be able to lower the 3% of the BOM cost. And in terms of the sales and administrative expense ratio, we could see the sales expense ratio will be lower by 10% to -- 10%, around 8%. And so that after the merge, we have already present a very clear integration and targets.
Unidentified Company Representative: So I may also cite you some cases. So for example, in Q1, we can also check the input of our R&D. We believe that we can have a reduction of over 20% of the R&D input because I'm quite clear about the input of R&D of our products. And after the merge, this is the situation, this is the result. And as for the labor cost adjustment maybe in the quarterly report in May, we may also see the results or the impact from the reduction of R&D input. And moreover, as for the brands, either from the technology or the models or the number of models or information from the sales channel, we can also see that we have made a lot of improvement. Likewise, for our management. So after the completion of the deal, we are successfully implementing our plan and quite satisfactory with the results. And this is a new starting point for us. And as for the R&D input, just now I've already mentioned that the implication will be showed or reflected in the report in May. And just now, you also mentioned the issue related to ICE. I'd like to share my personal view with you. But before that, I would like to talk about NEV. And just now, Mr. Gui has already mentioned that NEV has developed rapidly and the market share has surpassed 50%, which means that ICEs do make up 50% of the market total. And when we talk about the development of NEV, usually, we also need to understand that it is driven by the collective adverts, which means that when a company is developing NEV, we have a lot of innovation. We made a lot of efforts, but we also believe that we have also gain the benefit from the support of the national policy. So either the NEV or ICE, Geely believes that the future trend will see the diversity. And we have also conducted some marketing research, either in the Chinese market or the European market. And we believe that so far, the penetration rate of NEV is quite low. And as for the overseas ICE, the share remains high. As for Geely, in terms of the development of ICE, we believe that we have our own advantages because we are capable to develop very good ICEs. And I should say that we have accumulated a lot of technology in terms of ICE development in the past over 1 century. So we believe that ICEs do have very good prospects. Therefore, we will never flinch in terms of the ICE development. We never [Indiscernible] the development of ICE. Rather, we will ramp up efforts for the ICE development supported with the launch of new products. And we have also talked about the plan of ICE. That is, we would like to launch the hit product. And we just concentrate our resources on the Xingyue, Xingrui [Indiscernible] and other series. We would like to ramp up inputs into the development of all these series and also launch the hit products. And as for Xingyue L and Xingrui, we can see that it topped our selling chart always. And Xingrui also maintained number 1 position among the homemade vehicles. And as for Xingrui last year, over 300,000 units were sold. And as for Binyue, over 200,000 units were sold. Therefore, we need to center on the hit product development. And this year, we will also steer the development of the product towards the intelligence as well as Internet connected function. Therefore, we will also focus on the modification of the original model with the equipment of Flyme model, Flyme Auto model system. And moreover, Qianli Haohan, the 2 pilot system, will also empower the ICE. So we will speed up the assets for the development of all these areas. And moreover, as for ICE, either through the online channel or the distribution at home and abroad, we will also continue the previous plans or print. So this is my answer or response to that. Thank you.
Unidentified Company Representative: Just now, our investors have asked a lot of questions. So we wonder whether we have questions from the media friends from Hong Kong? So if no more questions, we would like to give the floor to the investors.
Unidentified Analyst: So I'm from HSBC. I have 2 questions. The first one is related to autonomous driving. So just now, you have already talked about the ecosystem and the future prospects and outlook. So in terms of the product portfolio, like the high-end product from Zeekr or other products, so as for the autonomous driving, we wonder if it is integrated, what kind of impact will it have on our pricing as well as profit margin? So can we also have a higher pricing? And also for different brands, we understand that the components may also be different like the software or the chip, et cetera. And we may also use the supply from different suppliers. So all these, how will they impact the pricing? And as for the smart driving, we can see that as for ICE, I see a lot of the Chinese companies have done well and also go global, and they also achieved very good profit margin. So as for 2025, if the NEV have become more intelligent. So as for ICE, how can they also compete with the NEV in terms of the function? So as for the profit margin or the profit for the single vehicle, how can you rise up to that challenge. So how can you boost our confidence in all these areas?
Unidentified Company Representative: So the first one is about the smart driving like a G-Pilot. So after the launch on March 13, so like the Galaxy 18 and also Xingyue 8, these models will be equipped with autonomous driving function. And also at the end of Q2 or in early Q3, we may also see the launch of new models, which will also be equipped with H3. And as for Galaxy, H7 function will also be embedded. And as for Zeekr and Lynk & Co, H7 and H9 will also be equipped. So this is the plan for the new products. And just now, you have also mentioned autonomous driving, whether it would just impact the pricing of the vehicles. So as for Geely, we believe that order pricing will be driven by the market. All the price that will be priced based on the market competitiveness. If the product cannot generate the value to our customers, we believe that the pricing is kind of failure. Therefore, the logic to develop the products is to price based on the market. And secondly, last year, Geely has sold over 2.17 million units. So as for the whole group, 3.3 million. And in 2022, Geely, 2.71 million. So you can see that the total scale will be about 4 million for the whole group. So this is a large scale. It just fully showcased our advantages. So with the effect of the scale, also the deployment of the Taizhou strategy, you can see that with the synergy, we can make the adjustment of a lot of area like the expense, the procurement, et cetera. So we believe that we will have a notable reduction of our cost. And also since last year, we have integrated our procurement system. We have the centralized procurement system. So we believe that we'll sustain our competitiveness in this way. So we believe that the autonomous driving function, it needs to be competitive and the value must be delivered through our products. And thirdly, you mentioned ICE and you also raised one question, that is it is autonomous driving function whether it will be parallel or comparable with that of NEV? So going forward, in the modified model, we will also use the new version, 3.0, so that the ICE can also be connected to the Internet and also use the autonomous driving function. So with this approach, the integrated approach, we may also drive down the cost of the new models or modified models of ICEs. So let's see whether we have more questions.
Unidentified Company Representative: We may also raise the question from the online platform. One question is related to autonomous driving. For some previously in the AI conference and as for the Galaxy Series, it has been adjusted in terms of the price ranging from CNY 4,000 to CNY 6,000. So as for the NEV, the effect of scale, how we impact the cost or the implication?
Unidentified Company Representative: So on March 3, Geely has already unveiled the plan for the autonomous driving like G-Pilot H1, H9, et cetera. So as for the vehicles without the function of autonomous driving, the price has been adjusted. And just now Mr. Dan also mentioned the logic for the pricing. So we stay committed to the vehicle surprise based on the market. So we can also see our competitors has also made relevant adjustments for the vehicles with autonomous driving. So we also make some adjustments for some models. So we believe that it's kind of structural adjustment. And then moreover, we just now mentioned we just stay committed to the market-driven pricing. However, in order to be profitable, we'll also upgrade our technology to lower the cost. And moreover, through the effect of scale, we can also lower the cost. Eventually, we believe that either the market-driven pricing or the reduction of the cost, it can just help us to offset the impact and also ensure the profitability. So as for Galaxy, I think for the Galaxy that on 23rd of February of 2024, we could see that actually, we are able to make it a 490,000 units. And this year, we made the target as 1 million. And so that means to upscale to such share market, we are able to see the benefits of the scale of economies. And we are also optimizing the technology so as to further drive our profitability. So the thinness, we need to create values for consumers. So our consumers will buy Geely cars with a lower cost that enjoy higher performance. And we are able to ensure our sustainable profitability by the scale of economy.
Unidentified Company Representative: So we actually received a lot of the questions online. I just would like to read out the final question, given the interest of time. And so one question that you've -- our management team has already rolled out about the overall strategy of the smart driving. So the question is, how do you rank Geely's smart driving among all of the smart driving system in the world?
Unidentified Company Representative: Why is that really a big question. I think I would say in a word, that Chinese companies are leading in terms of the smart driving. So it is a common sense. And so it's actually due to the development stage and also due to the consumers' habits because for the European or the United States consumers, they believe that vehicles are only about the mobility. However, for Chinese consumers, they are really picky. They are really smart about those technology. And so the Chinese consumers have really high standards in terms of the smart driving. They're really focused on about experience. And so I would say the Chinese company is leading in terms of the smart driving system.
Unidentified Company Representative: So thank you very much for your answer. And that would be the end of the annual results conference. And is there any supplement to our management team?
Unidentified Company Representative: Thank you again. Thank you very much for joining our annual results conference. And we know that in the following days, there are a lot of road shows. And so you are welcome to contact our Investors Relations department. You are warmly welcome to contact us. We really look forward to your comments. You can let me know what we are doing great and what we are doing wrong, that would be also a very good gesture of support. Thank you again.